Operator: Greetings, ladies and gentlemen and welcome to the IRIDEX Corporation First Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Will Moore, Chief Executive Officer for IRIDEX. Thank you, sir. Please begin.
Will Moore - Chief Executive Officer: Thank you, operator. Good afternoon and thank you for joining us as we discuss the results of the first quarter of 2014. My name is Will Moore, and I am the CEO of IRIDEX. Today, I am joined by Jim Mackaness, our CFO and COO. Jim and I will be delivering some prepared remarks related to the quarter and to the business and then we will open the floor for questions. Before we get started, Susan Bruce will read the required Safe Harbor statement. Susan?
Susan Bruce - Investor Relations: This conference call will contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934 as amended relating to global and domestic market conditions; demand for the company’s products and market acceptance of the company’s new products such as MicroPulse enabled laser devices, trends in the global healthcare marketplace with respect to the treatment of eye diseases, such as diabetic macular edema and glaucoma, development of new products and new applications for existing products, the company’s growth strategy and growth strategy and growth opportunities, including acquisitions, technology investments and strategic relationship, pricing of the company’s products, the company’s operating expense controls, the company’s share repurchase programs, and the company’s financial outlook and performance in the remainder of fiscal 2014 and future periods. These statements are not guarantees of future performance and actual results may differ materially from those described in these forward-looking statements as a result of a number of factors. Please see a detailed description of these and other risks contained in our Annual Report on Form 10-K for the fiscal year ended December 28, 2013, which was filed with the Securities and Exchange Commission. Forward-looking statements contained in this conference call are made as of this date and will not be updated. I will now turn it back over to Will.
Will Moore - Chief Executive Officer: Thank you, Susan. The first quarter of 2014 was another excellent quarter of double-digit revenue growth for Iridex. We generated $10.3 million in revenues, up 16% over the first quarter of 2013. We continue to see growing demand for our products in the marketplace both in the U.S. and internationally. And our proprietary tissue-sparing MicroPulse technology is gathering increased support from physicians as a first line treatment for a variety of ophthalmology disorders. As most of you know, MicroPulse represents an important part of our future. As the trio of leading ophthalmologists, Drs. Ike Ahmed, David Gossage and Elias Reichel told a room of approximately 300 ophthalmologists this week at the American Society of Cataract and Refractive Surgery Meeting in Boston. MicroPulse is a unique and disruptive laser therapy. What is distinctive about MicroPulse is it is allowing the treated tissue to cool between laser pulses. This means doctors can’t perform laser therapy without the laser treatment damage associated with continuous-wave laser procedures. Treatment without damage means that laser treatments can be used by more doctors in more situations, including diabetic macular edema, glaucoma, and possibly advanced macular degeneration. There is a growing body of clinical anecdotal evidence that it is a safe and effective procedure that provides positive durable outcomes at a reduced cost compared to the prevailing drug therapies. That’s a critically important advantage when you are competing in today’s global healthcare systems. To give one example, physicians, healthcare systems and payers in the United States and throughout the world are today struggling with the impacts of aging populations and the dramatic growth of diabetes. A recent article in New York Times by Lapinska at the Yale School of Medicine describes the debilitating effects of diabetes on society and how it is becoming an enormous global healthcare problem. Up to 30% of all diabetics will develop some form of diabetic retinopathy during their lifetime, of which an early and common form is diabetic macular edema or DME. We believe and we think the evidence is clear that the current approach of treating DME drug treatments via injections every 6 to 8 weeks is unsustainable. It’s too expensive and becoming logistically impossible for the literally millions of patients seeking treatments in both the developed and the developing world. MicroPulse with its single treatment efficacy and positive outcomes represents a more efficient and more cost alternative, it’s what I call value based medicine and it’s increasingly becoming more relevant in today’s global healthcare marketplace. We know from talking to physicians around the world and from the actions that government healthcare system like UK’s National Health System that the growing expense of drug treatments for DME simply cannot be sustained. Just a few weeks ago in the U.S. the skyrocketing increases in expenses of ophthalmology drugs built to Medicare became a national front page news story. That’s the kind of real world evidence for value-based medicine that has is so excited and helps us making a conservative effort to educate doctors, patients and healthcare payers on the treatment benefits of MicroPulse. As I mentioned earlier the benefits of MicroPulse are not limited to just DME. In 2013, we began promoting our IQ 532 MicroPulse laser for MLT procedures. This year we will focus on making further in-roads in the therapeutic treatment of glaucoma. On Monday, at the ASCRS meeting Dr. Ike Ahmed gave a presentation on a one year multi-center study and follow-up regarding the positive effects of MicroPulse for glaucoma. And just last week, we issued a press release containing a newscast theory on which Dr. Neal Adams of DC Retina in Maryland praised MicroPulse as a treatment for a form of age related Macular degeneration on wet AMD. As the CEO of IRIDEX what is especially exciting to me is that we are now commercially and operationally prepared to take advantage of the global opportunity MicroPulse and all our other products present. Jim and I and the rest of our team half of the past year focused on making IRIDEX an agile market-oriented and commercially oriented company. We now have partner relationships in place that help us implement quicker product development cycles, our distribution and supply agreement with Peregrine is a good example of how these relationships help us accelerate product development cycles for disposable products. We believe that we are ready to make the next big steps to grow and prosper the company. With that, I will turn the call over to Jim to discuss the financials in more detail. Jim?
Jim Mackaness - Chief Financial Officer and Chief Operating Officer: Thanks Will. As we noted in our press release and Will’s comments our revenues for Q1 2014 reached $10.3 million, up 16% from Q1 2013 revenues. Our business is typically slower for the first quarter when compared sequentially to the preceding fourth quarter. However, given the continued underlying strength we are seeing in our business our total Q1 2014 revenues were down only a modest 2.5% from our record sales in Q4. Overall, system sales in Q1 2014 were $5.5 million, up 28% from $4.3 million in Q1 2013 with year-over-year increases both domestically and internationally. On a sequential basis system sales were 8% lower than the $6.0 million reported in Q4 2013. Our domestic sales – system sales were slow out of the gate in the first quarter, but picked up later and ended up 18% over the prior year quarter with good momentum as we exited the quarter. International system sales continued to be very strong throughout the first quarter and were up 31% over last year’s first quarter. We continued to see sales of our MicroPulse enabled IQ products becoming a larger portion of our product sales and sales of TxCell delivery device outstripped our ability to supply. Recurring revenues were $4.8 million in Q1 2014 compared to recurring revenues of $4.5 million in Q1 2013 and Q4 2013 and the increase of 6% in both prior periods. We did benefit from the addition of revenue from our independent sales force this quarter compared to Q1 2013 and therefore we were pleased to see sequential growth as well. Overall, gross margins in 2014 first quarter were 48.9%, up 1.6% over gross margins in last year’s first quarter, which is a good result. Our direct margins improved in aggregate across our product lines increasing from 66.3% in the first quarter of last year to 67.1% in this year’s first quarter. The increase reflects the positive impacts of improved pricing and reduced product material costs, notably in our new TxCell product. There are at least good sustainable improvements. The full impact of these improvements was dampened by the continuous shift in channel mix towards increased international system sales. Our gross margins also benefited from improved operational efficiencies, although production cost in terms of absolute dollars spent increased as the percentage of sales decreased from 19.6% to 17.6%. The full impact of these benefits was offset by a negative swing in our manufacturing of 1%. One major element here was the result of management’s tension to rebalancing inventories. We reduced our inventories by $0.75 million in the quarter through usage, scraping and reserving at-risk items. Operating expenses for Q1 2014 were $4.5 million, up from $3.3 million in Q1 2013, but the first thing to note is that in Q1 2013, we recorded a $0.5 million one-time credit as a result of receiving funds from the demutualization of one of our insurance carriers. And back to credit, operating expenses for Q1 2013 were $3.8 million. As we previously referenced, R&D expense have increased due to the commencement of various programs. The cost reduction program for the IT platform is fully underway. We anticipate that we will invest approximately $0.5 million in this program. The goal is to reduce $2,000 of costs per unit from the product platform. And based on today’s volumes, this would generate approximately $0.5 million dollars annually in additional gross profit. The benefits in this program are expected to come on stream beginning 2050. Additionally, we are making progress on our glaucoma product family. This family will consist of full consumable products supported by a new laser system. We are working hard to have this ready for commercial launch by the end of this year. The full consumable products will be focused on treating moderate to late stage glaucoma. And we have additional products that are being developed. Sales expenses increased in 2014 first quarter compared to the prior year quarter due to the addition of the independent sales channel. G&A expenses in 2014 first quarter, up due to a $150,000 in severance costs as we continue to work through aligning our workforce and $60,000 in increased non-cash stock compensation. Operating income in Q1 2014 was $0.6 million compared to $0.9 million in last year’s first quarter. Excluding the one-time gain of $0.5 million from Q1 2013, our operating income increased 41% over the prior year quarter. Maintaining a leverage growth model is important to us. This means we are focused on growing revenues in a way that generates a large growth in income. The same time we have to balance this with the fact that we know the value of IRIDEX is enhanced through innovation. Therefore, although we may not see the leverage show up in every single quarter we report, when we are firing on all cylinders, we believe we can achieve a greater than 10% revenue growth rate and a greater than 20% operating income growth rate. Net income in this year’s first quarter was $0.5 million or $0.05 per diluted share compared to net income in last year’s first quarter of $0.9 million or $0.09 per diluted share, which included the $0.5 million of insurance gain. Looking ahead to the second quarter of 2014, we are projecting revenues between $10.3 million and $10.6 million representing growth of 12% to 15% over the second quarter of 2013. Gross margin is anticipated to come in between 48% to 50%, operating expenses between $4.4 million to $4.6 million, and the company anticipates generating operating income. The anticipated increase in operating expenses is attributable to building out some bench strength in R&D and marketing to support our growth initiatives. And our decision to host a major seminar at this year’s ASCRS, which took place last Monday as Will mentioned, where we hosted the 300 doctors for the lunch time event and had an excellent panel of leading ophthalmologists reporting on the benefits of MicroPulse. We believe this is an excellent opportunity as the doctors attending ASCRS are typically characterized as comprehensive ophthalmologists and therefore represent a largely untapped market for our products. But where we believe MicroPulse can be a compelling proposition. We did have some activity in this stock repurchase program. During the quarter, we purchased 40,000 shares at an average price of $8.69 per share. And at the end of the quarter, we had approximately $2.2 million available for future repurchases. With that, I will turn the call back over to Will.
Will Moore - Chief Executive Officer: Thank you, Jim. To summarize my earlier remarks, we believe we are well-positioned to take advantage of the current macroeconomics and demographic trends in the global healthcare marketplace. We achieved double-digit revenue growth and see no reason of why that will not continue. We have a unique disruptive technology, MicroPulse. It is clinically proving itself on a daily basis of the safe and effective treatment for a very large and rapidly growing healthcare issue in ophthalmology today. For diabetes and DME, an absolute enormous global issue and for glaucoma and possibly age-related macular degeneration, which are becoming significant global issues given the fast growing post 65 demographic. At the same time, we have created a kind of company that can address these large and fast growing issues. That’s been our goal since I became CEO and I believe we have made huge strides in our ability to be successful in these efforts. Our focus remains on profits. In fact, our cost reduction program is just that, but it also says we are having our eye on the future as growth rates increase and we are delivering new innovative products. I’d like to thank our employees and partners for all their hard work and your interest in IRIDEX. With that, I will turn the call over for questions and please one question with a follow-up question and then re-queue. Operator?
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Larry Haimovitch with HMTC. Please proceed with your question.
Larry Haimovitch - HMTC: Good afternoon, Jim and Will.
Will Moore: Good afternoon, Larry.
Larry Haimovitch - HMTC: Just a couple of housekeeping items, actually. I think Jim, you said international was up 31% in Q1 over last year?
Jim Mackaness: Yes, on the systems.
Larry Haimovitch - HMTC: Not the entire product line then?
Jim Mackaness: Correct, yes.
Larry Haimovitch - HMTC: Okay. What was the breakdown of international versus U.S. in terms of their respective growth rates in Q1?
Jim Mackaness: Well, then we do the recurring in aggregate. So we don’t split out the recurring by region, but overall, we had a domestic of 47% and international of 52% in the overall mix.
Larry Haimovitch - HMTC: Okay.
Jim Mackaness: So, which lay back us in there, but that’s shown a continued swing towards the international stuff.
Larry Haimovitch - HMTC: In the quarter, I noticed, as you said, Jim the receivables – rather the inventories were down. I see you did a good job on receivables as well. I am assuming there was positive cash flow in the quarter?
Jim Mackaness: Yes. There was, if you want to do it on an EBITDA basis, there was basically $900,000. And if you want to do it on a pure cash basis, the cash from operations came in at around $600,000.
Larry Haimovitch - HMTC: Okay. Well, I will follow the rules and I will jump back in queue.
Will Moore: Thank you.
Jim Mackaness: Thanks.
Operator: Thank you. Our next question comes from the line of Sam Bergman with Bayberry Asset Management. Please proceed with your question.
Sam Bergman - Bayberry Asset Management: Good afternoon, Will and Jim. Nice quarter.
Will Moore: Thank you.
Sam Bergman - Bayberry Asset Management: You are welcome. A couple of things. And then I will get back in the queue. Salient Medical from Canada, you recently aligned with them, how big a sales force do they have? And when are they going to be up and running?
Will Moore: Well, their sales force is only four people that are located in the major cities across Canada. It’s simply a distributor operation and they are up and ramp running now. They have just finished their training. So we expect positive things from them going forward for the rest of the year.
Sam Bergman - Bayberry Asset Management: And internationally, do you expect to align yourself with other distributors such as Peregrine and Salient as the growth continues and moves higher?
Will Moore: Well, that’s kind of a mixed question, because Peregrine is on the supply side partner relationships and the Salient is on the distributor relationships. We will continue to migrate and work our way through our distributor relationships making sure that they can stay on point with what we want with MicroPulse. And if they can create it, they will select additional ones. On the side of our partner relationships, we are always looking for ways to increase the supply chain efficiencies and improve our revenues. So we may do it either through a partnership or through small tuck-in acquisitions.
Sam Bergman - Bayberry Asset Management: Thank you. I will get back into queue.
Operator: Thank you. Our next question comes from Joe Munda with Sidoti & Company. Please proceed with your question. Joe Munda, your line is (open now), ask your questions.
Joe Munda - Sidoti & Company: Can you guys hear me?
Jim Mackaness: Yes we can.
Joe Munda - Sidoti & Company: Okay, sorry about that I had it on the mute. Real quick just taking a look at the income statement, nice growth on the top line, but I am just wondering sales and marketing was up 20% year-over-year outpacing the sales growth and I know Jim had made some comments about adding to the bench here and some of the marketing activities that you are involved in obviously are helping the top line growth. I am just wondering how should we look at going forward into the back half of this year, are we still going to expect sales and marketing to be outpacing the revenue – the top line growth?
Will Moore: No I think the one phenomenon just to remember is that we picked up the Peregrine independent sales force in April of last year. So I think when you compare your sales of last year – this year with last year you got to remember that there is that step up that’s going to just happen as a one-time as we get on to comparable quarters going forward. So I think that’s probably one of the big drivers there. But I would say that we certainly are looking for opportunities if you like discrete opportunities I will refer to them like we just did with this ASCRS show where we do decide to sort of go a little bit heavy on marketing that we would classically if we think the audiences is there and if we think the proposition really makes sense. But generally we should see – we shouldn’t see the sales and marketing outpace in the revenue.
Joe Munda - Sidoti & Company: Okay. And then my last – my one follow-up here is just taking a look on the website, you guys have a lot of events scheduled and I know you touched on some of the commentary, but can you give us some color on what you expect from the future events and how you think that will continue to drive adoption towards the MicroPulse?
Will Moore: Joe, you are speaking of the events that like EURETINA and ESCRS and AAO.
Joe Munda - Sidoti & Company: Yes and then I saw there is one in Hawaii I think was…
Will Moore: Yes, those are ones we have – to give you an example about a year and a half ago we had a workshop in Las Vegas and then Hawaiian Eye on MicroPulse. We had 25 people attend. Last year at EURETINA we had a little over 100 and this year at ESCRS we had over 300. So I think it will drive additional adoption. The things that – what we have done is there is we have been consistently surgically related retinal company until MicroPulse came on track. And we started to transfer ourselves over to this medical retina and then which leads us into the comprehensive space. So there will be some what I will call market awareness, educational dollars that will spent, but I think it’s well worth it from what we are doing and the sales revenue coming from it.
Joe Munda - Sidoti & Company: And if I may just one other quick follow-up totally off topic, Alcon reported and obviously Bausch & Lomb what they have going on with Valeant, if you could give us some sense of what’s going on in the industry as far as what you are seeing from your competitors and where you guys stand and how you feel in the landscape going forward?
Will Moore: Well, I think what I see is I see some prices that are being reduced in the continuous wave lasers, that’s pretty competitive landscape but I think we are holding on and gaining share there. And then we are seeing increased pricing on our MicroPulse because it’s really a modality that no one can compete with. The areas that we are focused on diabetes, glaucoma I mean there is a – I mean it’s like the tides raising up and bringing more and more patients into the mix of I don’t really see them – I hate to say this but I don’t see them as competitors, my biggest issue and worry has more to do with it how drug companies respond.
Joe Munda - Sidoti & Company: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from Larry Haimovitch with HMTC. Please proceed with your question.
Larry Haimovitch - HMTC: In the quarter you have mentioned international system sales were up 31%, were there any unusually large orders in that number, Will or Jim? Anything from India, for example or any of the countries you have been working on that potentially could bring in large orders?
Will Moore: We had our standard flow of orders out of India and China, but the big market was a substantial order out of Japan. They ordered large number of yellow IQ lasers.
Larry Haimovitch - HMTC: Could you quantify what that – how much large order means, a couple of hundred thousand?
Jim Mackaness: They were 17 lasers plus TxCells.
Larry Haimovitch - HMTC: So….
Jim Mackaness: It’s those they sell and you can look at some place around 50 grand.
Will Moore: I think we didn’t make reference to, because it wasn’t in the – we have normally called out tenders, I think it’s great question, Larry, thank you for asking. You didn’t really hit the radar screen since it wasn’t like a tender it was a situation where I have distributed just basically came to us with a unusually large amount of business.
Larry Haimovitch - HMTC: Yes, yes. It’s great that you got the visit. It just concerns me obviously, next year’s first quarter we will be looking at the fact that you had a big, big order this quarter. And therefore, you have got a tougher comparison.
Will Moore: We said that last year.
Larry Haimovitch - HMTC: Yes, you did. That’s true. Well, keep making me wrong. That’s fine. I have no problem with that. Jim, on the shares outstanding, they were up I am assuming even though you did a small buyback. I am assuming that strictly relates to the fact that the stock is higher and it’s put more of the options in the money and therefore they have to be counted in the fully diluted number?
Will Moore: Yes, yes, you are correct.
Larry Haimovitch - HMTC: Okay, great. Okay, that’s all I have got. Thanks.
Operator: Thank you. Our next question comes from the line of Brian Lancaster with Clayton Partners. Please proceed with your question.
Brian Lancaster - Clayton Partners: Great, thanks guys. Great quarter. I was wondering if you could talk a little more about the recent show. It’s very impressive to hear you had 300 plus comprehensive docs there. I wondered if you could just talk a little more about that opportunity and how – whether you are starting to see kind of real traction in orders from that community and how you expect that opportunity to play out over the next year or two?
Will Moore: Okay. So we are always excited to talk about something like that. The show has not been a big one for us in the past. In fact, we generally had a 10/10 or maybe even a 10/20 booth, so it’s pretty small. This year, I think it went to 10/30. The traffic was quite substantial. These are doctors that are predominantly cataract refractive. And so we are kind of on the periphery of their excitement level. They spent a lot of time over Zeiss and things of that nature, but our booth traffic was good. We sold lasers why we are there? The response from the (indiscernible) was quite substantial. It wasn’t easy to get to, you had to lead the convention floor, go across the skywalk to a hotel. And when you have an audience of 300 people that are really brand new customers, because they are all comprehensive, they are not – I mean, they do a little retina, do a little glaucoma and stuff. So, I think the point we are trying to make there is marketing is doing a phenomenal job of getting the message out in regards to the benefits of MicroPulse. At the same time, we are starting to see these studies percolate up and become visual or publish one was Dr. Ahmed’s presentation on glaucoma, one year of multi-study center study with the follow-up data, which is very good. We had a study accepted for publication in this audience out of Singapore. I am waiting for the date that when it’s going to be published. We had another study published in Europe. So it’s all working in this area. It’s all brand new for us. And my excitement has to do with glaucoma and the budding support we are seeing in the AMD side.
Brian Lancaster - Clayton Partners: That’s great. That’s great to hear. And we appreciate all the work you have done. It’s great to see the leverage as the top line growth here. So congrats on all that and we look forward to seeing the progress.
Will Moore: Thank you.
Jim Mackaness: Thanks, Brian.
Operator: Our next question comes from the line of Stan Mann, Private Investor. Please proceed with your question.
Stan Mann - Private Investor: Hi, gentlemen. Good job.
Will Moore: Hi, Stan.
Stan Mann - Private Investor: Just two questions. One is we have got a lot of cash sitting there, not earning anything and really the only use we have had with this small share buyback, so my question is do you have a near-term like this year plan to profitably utilize the cash that we have got on hand?
Will Moore: Yes, I mean we are always looking at ways to utilize the cash on hand. We do the share buyback. We are always on that – we are on the looking for smaller tuck-in acquisitions but they have to be right for us because the one thing I don’t want to do is go out and buy something that takes our eye off the MicroPulse. So we have to be strategic about it and we will see I mean it’s being used, but it’s not going to be used foolishly. We have made investments in the development of the cost reduction program we have made investments in buying back shares, we made investments in new product developments. Jim mentioned the glaucoma product coming out and there is no other product behind that. It’s being utilized.
Stan Mann - Private Investor: Okay, but you don’t see a Bolton on something near-term that makes sense that we will utilize say half of it significant?
Will Moore: Well, that question is really difficult for me to answer. That would be see – look we are always looking for something whether we find something or not I don’t know, I won’t talk about it and tell it’s available.
Stan Mann - Private Investor: Okay. The second question is simpler and that is Alcon is or was our customer and is there anything going on with the Alcon relationship?
Will Moore: So Alcon continues to be a licensee of our technology on the Green Tip Cannula and we are actively working with them for them to sell our Green Trip Cannula product. So we have that relationship that’s what we have historically had in place. And we do continue a dialogue to see if there are ways to broaden it, but I wouldn’t want to sort of lead any expectations or anything that’s imminent, but we continued to work with them, excuse me.
Stan Mann - Private Investor: Well, that’s if they are a small customer relatively?
Will Moore: Yes.
Stan Mann - Private Investor: They are not significant and they are not a potential licensee of the MicroPulse or one of the newer technologies?
Will Moore: I wouldn’t say currently because they are focused on the surgery suites they do have a laser, but it’s a continuous wave length it was sort of laser that satisfies the surgery needs. MicroPulse that we are focused on is sold into the clinic and as a multipurpose laser. So given where they are and where their focus is it doesn’t seem that there will be an imminent opportunity.
Stan Mann - Private Investor: Okay. Thank you, gentlemen. Good job.
Jim Mackaness: Thank you.
Operator: Thank you. Our next question comes from the line of (indiscernible) with Maxim Group. Please proceed with your question.
Unidentified Analyst: Good morning rather afternoon guys. I had a quick question to follow-up on the tradeshows is there a way to quantify kind of conversion rates between the amount of people that stop at your booth or go to – meet you guys at the show and then eventually end up buying a product. And I understand it was probably very difficult to quantify that but…?
Will Moore: It’s difficult to quantify. I will tell you what we do, maybe it will help you.
Unidentified Analyst: Yes.
Will Moore: All leads generated whether they are from tradeshows or inbound from the website etcetera, all are get dropped into our salesforce.com. And what we do is we have inside sales people that start to call them, we put it and we touch them 1, 2, 3, 4, 5, 6, 7 whatever number of times if we take. We have analyzed the point and say that most people don’t buy until after they have been touched at least five times. Therefore we have the five times touched coming from here where it’s not expensive by sending a sales person. Once it’s gone over five it’s turned over to sales person. The sales person then has to respond back and fill the data out on salesforce, so we track that. And we give all these leads point systems if you will by depending upon we send something to doctor to the open up, not open it up, they open up they get a point, if they don’t and once it hits at certain level it’s time to close and we send somebody there.
Unidentified Analyst: Okay.
Will Moore: Track that from a tradeshow, I can’t because it drops in the whole thing.
Unidentified Analyst: Okay, alright. So, then the follow-up question to that is of the people in the CRM that you guys are tracking and calling on, is there any way to quantify conversion rate for that? And that could be from all sources that gets dropped into the CRM, any way to say, okay, we have 1,000 people in the CRM and eventually we convert approximately 10% of them?
Will Moore: Yes. We do look at that internally, but I would have had that, we have had that question, I mean, that’s a very soft metric that we obviously spend a lot of time on looking at just for the very reasons.
Unidentified Analyst: Right.
Will Moore: But we don’t make it publicly discuss.
Unidentified Analyst: Okay.
Will Moore: Mr. Buckley and his marketing group, does an outstanding job of tracking these things, putting together digital media and I think the company has become incredibly efficient on the sales process because of it.
Unidentified Analyst: Understood.
Operator: Thank you. Our next question comes from the line of Joe Munda with Sidoti & Company. Please proceed with your question.
Joe Munda - Sidoti & Company: Thanks for taking the follow-up. Real quick, guys, the company has been around, obviously, for a long time. And I am just wondering, how many, I guess, it’s a follow-up kind of to the previous question. I want to get a sense of how many people may have or docs have left using your product to turn to the drugs and now you see them coming back to you. I want to get a sense of how that’s going and how that conversion rate is occurring?
Will Moore: So I am going to try to clarify something, Joe. It’s like all our products for the years we are in business were surgically related dealing with retinal surgery detachments, tears etcetera, etcetera. The products that we are selling today are going towards the medical retina and glaucoma guidance. So, you are seeing the MicroPulse going out, it’s not a replacement to existing technology. We still sell a lot of continuous wave lasers to replace those. When you see the MicroPulse sales, you are seeing new customers coming on board, not 100%, because a lot of people will do both medical and surgical and they have got IRIDEX and they see and read about MicroPulse as they own both. We are not seeing people calling us up and saying oh, here is my old laser, I want to get a new one with it, that’s not the point, when they get a new one.
Joe Munda - Sidoti & Company: No, no, I am not. That’s not what I am trying to say. I am just saying guys who have used continuous-wave in the past, right, have gone to treating the disease with going to drugs and then saying wow, the cost benefit for me going back and using my laser – and wow, this new MicroPulse laser. I am just trying to get a sense of that, that’s what I am saying like….
Will Moore: Okay. Yes, I think that was at the convention last week. That was a good question that came from Larry Haimovitch. We were talking about it. It’s the doctors it was twice simple to make a decision to go from continuous-wave lasers to drugs, because it gave you an acute response. I mean, instantaneously the drugs helped. And that was better than creating collateral damage caused by the continuous-wave laser. What’s happened is their business model has gone from a low volume, high margin business of doing a lot of surgeries to a low margin, high volume business. And they are looking at the situation with the infections and the non-responders, which can be as many as 30%. They are starting to look for alternatives and that’s we call it depends on swings from continuous-wave to pharma back to MicroPulse or photo simulation. That’s what’s happening today. And I think to quantify it is we are probably in a baseball metaphor in the first inning.
Joe Munda - Sidoti & Company: In the first, that’s exactly what I was looking for. Okay, so you are in the first inning. And then just one follow-up, housekeeping item, Jim, you spoke about R&D and the new glaucoma system that you are going to be launching, is there any significant CapEx associated with that? And if you could let us know what CapEx was in the quarter? That would be great. And I will hop back in the queue.
Jim Mackaness: So, CapEx for the quarter is about $100,000 and not a lot, there is a little bit of tooling on some of the consumable elements. We had to get those out, but again, I don’t think I was told it’s going to add more than say $100,000 for the CapEx for the year in tooling.
Operator: Thank you. Our next question comes from the line of Sam Bergman with Bayberry Asset Management. Please proceed with your question.
Sam Bergman - Bayberry Asset Management: Hi. Again, on the TxCell product, where there was lack of product in the quarter, does that leave you with a backlog that wasn’t shipped and if it did what is the dollar amount of that backlog?
Will Moore: It was just a couple of orders right at the end. So, it wasn’t a huge amount at the end. What we had was we definitely had a – we had a situation where we had our annual plan for this year and within the first, which obviously relay into the production side and you have got to get on with the supply chain up and alignment and we were virtually I think 40% to 45% of the annual plan in the first quarter, which is what put a little bit of strain on the supply chain and begin to get all of the items. We did manage to get some items expedited right at the end. So we are able to fulfill most of the orders and we just had a couple that carried over.
Sam Bergman - Bayberry Asset Management: So, how are you going to deal with the larger than expected demand for it in the upcoming quarters?
Will Moore: Well, it’s one of these where you sort of once we started to see it in the early part of the quarter, it took us till the end of the quarter to get expedited part in, but it also gave us a chance to raise the forecast through the supply chain for the Q2, Q3, Q4. So, yes, we have got ourselves a little bit of bringing the room to try and keep pace. Now, having said that, obviously, yes, we have the revised target, I would like the challenge of having the revised target to keep going up, if you are not I mean, but we can build to the revised target.
Sam Bergman - Bayberry Asset Management: It sounds good. Thank you.
Will Moore: Thanks.
Operator: Thank you. Ladies and gentlemen, at this time, there are no further questions. I would like to turn the conference back to management for any closing comments.
Will Moore - Chief Executive Officer: I just like to say thank you today for your attention and interest in IRIDEX and we look forward to another positive quarter in Q2 and the next quarter’s conference call. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.